Operator: Hello and welcome to the webcast WWE first quarter earnings conference call. We have just a few announcements before we begin, [Operator Instructions] I will now turn the call over to Michael Weitz SVP Financial Planning Investor Relations for WWE. Please go ahead. 
Michael Weitz: Thank you and good morning everyone. Leading today's discussion are Vince McMahon our Chairman and CEO as well as George Barrios and Michelle Wilson our co-President. Their remarks will be followed by a Q&A session. We issued our earnings release earlier this morning and have posted the release, our earnings presentation and other supporting material on our website corporate.WWE.com/investors. Today's discussion will include forward looking statements, these forward-looking statements reflect our current view, are based on various assumptions and are subject to risks and uncertainties disclosed in our SEC filings. Actual results may differ materially and undue reliance should not be placed on them. Additionally, the matters we will be discussing today may include non-GAAP financial measures. Reconciliation of non-GAAP to GAAP information is set forth in our earnings release and presentation which are both available on our website. Finally, as a reminder today's conference call is being recorded and the replay will be available on our website later today. At this time, it's my privilege to turn the call over to Vince.
Vince McMahon: Thanks Michael. The numbers pretty much just speak for themselves, prove a strong operating and financial performance, as a result we're as you know raising our guidance for the full year. RAW and Smackdown along with all of our social and [general]] meeting continue to push a lot of this obviously in terms of our performance. RAW and Smackdown helped no doubt our USA Network finish 2017 as continue for the 12th consecutive year of the most watched ad supported cable entertainment Network, we like to think we have something to do with that. During Q1 this amazing stat during Q1 2018 digital video views increased 56% to 6.7 billion. Those numbers are hard to wrap your arms around really, it's such a huge increase, 6.7 billion is massive. Our total hours consumed increased 69% as well across to all digital and social platforms. We remained the number one sports channel on YouTube and we have 50 million views which even broke our record today after WrestleMania on YouTube. WrestleMania broke the record for Superdome's highest entertainment grossing entertainment event. We had as you know a 2.1 million total subs for WWE Network [following] WrestleMania is up about 9% over the year and we established a 10-year partnership for the team to grow Saudi Arabia and have our first event in Jeddah on April 27th and all that and most everything else at the moment looks pretty good.
George Barrios: Thanks Vince. So, there's several key topics which we'd like to review today and it includes our perspective on financial performance, the progress of key strategic initiatives and our business outlook. During the quarter we delivered strong financial performance and specifically we generated adjusted OIBDA of more than $35 million, compares favorably to revised guidance as provided on April 9, 2018. Moreover, we achieved a 40% increase in adjusted OIBDA that was driven by the escalation of [content] right fees, higher advertising sponsorship sales as well as continued growth of WWE Network. These growth factors more than offset the decline in our licensing and consumer products business attributable to the adoption of a new FASB standard for revenue recognition ASC topic 606. As expected the adoption of the standard reduced first quarter revenue by approximately $10 million and adjusted OIBDA by $7 million. Excluding this impact adjusted OIBDA would have increased 68%, driven by increased monetization of content as reflected in our media segment. To review our business performance in the quarter let's turn to page four of our presentation which shows the revenue operating income and its OIBDA contribution by segment as compared to the prior year quarter. As a reminder the presentation of our first quarter results reflect several changes in our financial reporting. These include a revised business segment structure, modification of our definition of adjusted OIBDA which now excludes stock compensation expense as well as the aforementioned accounting change.
Michelle Wilson: Looking at our media segment adjusted OIBDA increased 74% or 18.5 million driven by a 10% increase in revenue and lower operating expenses. Revenue growth of 12 million was primarily due to increases in core content rights fees as well as higher sales and advertising sponsorship across media platforms. WWE Network also contributed to the growth in profits with a 5% increase in average pay subscriber to 1.56 million and lower operating expenses. The latter derived from creative decisions related to our Network content, such as the scheduling of Holy Foley which aired in the prior year quarter. The increasing monetization of content as evident in the first quarter reflected some important operational achievements. These included the continued production of our flagship programs, the creation of highly appealing new content and the robust consumption of our content across all platforms. On television we celebrated the 25th anniversary of Monday Night Raw, a ratings juggernaut, which remains the number one show on USA Network, in fact RAW has been the highest rated program on its host Network for 20 of the past 25 years. Separately we completed the seventh season of the highly successful series Total Divas and announced the third season of Total [indiscernible] which is coming up premiering on Sunday, May 20, both of these programs air on the E Network. On our direct to consumer streaming service WWE Network we added more than 60 hours of original content. This of course included the continued production of our NXE takeover events which bought more live and ring content to our fans and new episodes of the series Ride Along, which provides an outside the ring perspective of our superstars' lives on the road. And coming to the WWE Network by the return of both the UK championship tournament and the Mae Young Classic as well as the new season of Champ WWE. On social and digital platforms consumption of WWE content increased dramatically. As Vince mentioned, digital video views increased 56% to 6.7 billion and fans watched more than 240 million hours of content, representing a 69% increase from the first quarter last year. Contributing to the growth in digital consumption we launched Mixed Max Challenge on Facebook Watch, this show is a live in-ring series which has generated more than 35 million views to date. The power of our brands to engage a broad global audience continues to garner an increasing level of interest from the advertising community, which yields a 30% increase in our sponsorship revenue. The growth in revenue reflected in part by our ability to monetize on YouTube. Over the past 12 months we have also renewed integrated deals with Rocket League, Cricket Wireless, Geico and of course Mars Snickers who was the presenting sponsor of WrestleMania for the third consecutive year. All of these partners took advantage of our reach across all of our platforms. As added proof of the compelling nature of our content last Friday we held one of our largest events ever outside of the United States with a sold-out crowd at the greatest Royal Rumble event in Jeddah, Saudi Arabia. The April 27 event marked the successful beginning of a 10-year partnership with the Kingdom of Saudi Arabia. 
George Barrios: Turning back to our segment performance, adjusted OIBDA growth from our media segment was partially offset by the impact of ASC 606 on our licensing business. Excluding the impact of this change, adjusted OIBDA from consumer products declined slightly from the first quarter last year, due primarily to lower royalties from the sale of toy products. Despite this result, we remain one of the top three brands in the US action figure category while developing new licensing partnerships such as with Carl's Jr.'s to promote kids meals and expand the presence of WWE among children. We also continue to increase the penetration of our mobile games. As of quarter end we had more than 70 million installs and an average of over 800,000 daily active users across our game portfolio. Our new kids oriented mobile game WWE Mayhem now has more than 9 million installs and recently earned the Editor's Choice Award on Google Play. In our live event segment as show on page 7 of our presentation adjusted OIBDA showed modest decline from the prior year quarter, that decline was primarily due to lower seating capacity at our Royal Rumble event which has a corresponding impact on attendance and ticket revenue. Page 8 of our presentation shows elected elements of our cap structure as of March 31, 2017 WWE held approximately 285 million in cash and short-term investments additionally we estimated WWE has approximately 100 million in debt capacity on the company's revolving credit facility. As we've indicated in previous calls we believe this structure enhances our ability to execute our long-term growth strategy. Our free cash flow was roughly comparable to the prior year quarter as the improved operating performance was offset by unfavorable timing and working capital. Looking forward we are now projecting a meaningful increase in revenue based on the distribution of new content in some international markets as well as higher right fees and existing content agreements on a continued growth of WWE Network. Back with the second quarter of 2018 we are now projecting adjusted OIBDA of $30 to $34 million. This range of results would compare to adjusted OIBDA of $24 million in the second quarter of 2017. For the second quarter of this year we also estimate average paid subscribers of approximately 1.77 million representing an 8% increase from the prior year quarter. Achieving this range of second quarter performance which I just referenced will result in adjusted OIBDA for the first half of 2018 that represents growth of between 30% to 40% from the prior year period. Based on this projected growth and expectations of strong performance over the remainder of the year we are raising our full-year target for 2018 adjusted OIBDA to at least $150 million, which will be an all-time record and exceed our previous guidance of at least $145 million. Over the remainder of the year our key strategic goals remain unchanged. We are continuing to focus and determining our distributions strategy in the U.S., UK and India for Raw and SmackDown, creating new content, investing in data and technology and deepening our international growth opportunities. As we continue to transform our business we expect to achieve record revenue, record profits and record subscriber levels. So that concludes this portion of the call and I'll now turn it back to Michael. Thank you, George. Glyn, please open the lines for question.
Operator: [Operator Instructions] And will go first to Curry Baker with Guggenheim Securities. 
Curry Baker: I know you can't really comment on the specifics of the ongoing U.S. TV rights negotiations but can you maybe share your thoughts on how undervalued you see your rights currently under the current contract, we are aware of the audience delivery metrics, but is there anything else you like to point to and maybe in what ways do you see yourself as better positioned now in 2018 to achieve something closer to fair value compared to 2014. Any thoughts would be helpful. Thanks.
George Barrios: As we said before we’re expecting to announce the distribution plans for RAW and SmackDown in the US sometime between now and the end of September. Other than that kind like you said the data is out there available for anyone to see and then they can draw their own conclusion about the value of the content but we’re not going to comment on it. 
Curry Baker: Okay maybe just one follow-up then. Sponsorship and advertising revenue at media is been growing around 30% in the past couple of years based on the trending schedules you guys provided, can you talk a little bit more about the drivers of this growth and how sustainable you see this growth going forward?
Michelle Wilson: The growth is really driven by the two part, the first are integrated sponsorship agreements that we mentioned those with partners like Mars, Snickers, Geico, Cricket Wireless, Rocket League and what we have been able to take to the market is truly unique and that you can activate your brand across all of our platforms whether its YouTube, Facebook, our own WWE.com, WWE Network, so the ability to deliver a cross platform solutions to brand has been working incredibly well. Beyond that, as you know WWE has unique ability to create content for those partners, so our ability to create integrations or almost analogues to brand and content if you will, with KFC we’re taking their brand campaign and making it our own is incredibly valuable because there is an organic integration of their brand into our world as you know the scale of our brand delivered that message to so many of their consumers. So that’s been very successful for us, we continue to grow on that front, we see renewals picking up. So, feeling very good about that. The second part of it as I mentioned in the comments is our ability to monetize on these digital platforms such as YouTube which again becomes a bigger part of our overall revenue going forward. 
Operator: And we will take our next question from Eric Katz with Wells Fargo. 
Eric Katz: Can you discuss any more detail on the incremental revenue for Q2 not sure if you want to quantify it but I’m also curious if some of that's related to timing for the new revenue recognition standards that hit Q1 in consumer products?
George Barrios: The ASC 606 impact will be felt more in Q4 because we will then be aligning the recognition of our licensing revenue with the retail revenue for our partners. The Q2 guide number significant portion has to do with the recently signed deal in Saudi Arabia, the 10-year partnership but we’re not going to get into specific numbers on that. 
Eric Katz: And regarding that partnership do you have any expectation or how many events you expect to hold an annual basis?
George Barrios: I think we’re still working through that Eric, its early days, we’re really excited about the about the partnership. Obviously, I know you are Network subscriber. So, if you go watch the greatest Royal Rumble it was pretty amazing kind of put chill a lot [indiscernible] watching it frankly but a lot of the logistics around, the form that the partnership will take, we are still working through that, we’re super excited. 
Eric Katz: Maybe just sort of a different kind of question, you guys are starting to generate more free cash flow at what point would you consider increasing the dividend again?
George Barrios: I think what we want to do as we mentioned before, on the call, Eric. We want to get through the distribution plans globally for RAW and Smackdown, we talked a lot about the domestic plan but certainly our plans in India, the UK and or many markets it's really important. Once we locked all of those down and we said we expect to announce India sometime in the first half of next year, once those are locked down we think we will be able to give a broader financial and operating framework longer term for WWE and how efficient [ph] to its strategy and within that we would address capital structure as well as return of capital strategy but we don’t want to do that today. 
Operator: And will take our next question from Eric Handler with MKM Partners. 
Eric Handler: So just looking at your full year guidance. If you're expecting growth in the first half or just above the 30% to 40% that gets me to about minus 4% for the back half of the year. Are there any big swing factors that would and that's to get to the at least the 150 million number? Is there any swing factors and costs or anything we should be thinking about that would cause adjusted OIBDA to decline any of that in the third or fourth quarters?
George Barrios: I think when you look at the back half of the year I checked the math again, we're expecting increase we can't get to at least 150 without increases in the back half so there is not a decline and we expect the growth to be driven by lot of the things that have proven the growth here early on, continued growth in the media segment from digital advertising, from subscription revenue on a year-over-year basis as well as the continuing escalation in our content rights so that's kind of what drives the back half. 
Eric Handler: And then with consumer products so now your fourth quarter is going to be bigger and just sort of as a guideline we took out nearly 10 million of revenue in the first quarter and about 7 million of adjusted OIBDA. Is that something -- is that a good to use to sort of shift into the fourth quarter?
George Barrios: Obviously, that’s a perspective on what you thought about our key categories year-over-year the performance at retail but generally speaking I think it's a good starting point to do that and then you can layer on your own perspective on top of that. 
Eric Handler: And then just one last question. In terms of your unallocated corporate expense in 2017 was about 70 million, can you just sort of give us a sense of where you think that number goes for '18 just as we haven't really had a good modeling perspective there and then should the allocation of the allocated corporate expense sort of stay similar to what we saw in 2017. 
George Barrios: On the first part which is the key order of corporate expenses you would see increases there are aligned with cost inflation, the primary component is staffing which has to go little bit higher than other fixed cost for us, the growth in there but that's generally what you see for the full-year, it might be some timing bumps. In the cost that used to sit in that segment that we are now allocating out to the operating segment those are areas we're going to continue to invest in because those would be things like talent, international resources, investment in data and those are areas I mentioned in the prepared remarks we are going to continue to invest in and so I expect those to grow at much faster rate than just inflation because we think there is a long tailwind for us. 
Operator: Will go next to David Karnovsky with JPMorgan. 
David Karnovsky : Now that the Mixed Match challenge is complete, can you discuss the performance of the series maybe how its fared relative to your initial expectations, I’m curious to know what metrics are even qualitative points used to measure success and would you expect to do similar content deals with digital platforms ahead.
George Barrios: So obviously Vince mentioned, Michelle mentioned the number of views in Q1, obviously we trend that out over the last five or six years, you have seen these kind of incredible growth rates. We think its strategically important. Frankly, if we put the partnership, and Saudi Arabia in a broader context those investments we made over the last 10 years in driving engagement on social and digital platforms. As you know, Saudi Arabia is one of the highest per capita if not the highest per capita user of YouTube in the world. Partnerships like that evolve, because our ability to engage 24/7 with our audience. So, I would keep that in mind, it's not a one-off. 
David Karnovsky : Okay. And then just how should we think about the contribution of greatest Royal Rumble in Q2 to your financials, I mean do you have any way to frame the revenue contribution and should we think about this as positive on an adjusted EBITDA basis for this year?
George Barrios: I mean the guidance we gave for Q2 adjusted [indiscernible] includes that event. So, it is positive, we’re not going to give the specifics but it will have an impact both on the revenue, a positive impact on both the revenue and the adjusted OIBDA line. 
Operator: We will go next to Benjamin Swinburne with Morgan Stanley. 
Benjamin Swinburne: Couple of questions. You mentioned ability to monetize on YouTube, I don’t know if that has improved, if anything specific has happened to allow you to better monetize that view and if you can talk about that and generally are there things you can do to drive up ARPU on viewing on YouTube, obviously YouTube controlled a lot of that inventory. But what is the opportunity there and did anything specifically happened in the quarter that's helped that revenue run rate. 
George Barrios: So, two things happening. Number one is the overall level of engagement that we can drive, that’s number one. Number two in the sell through rate and YouTube largely controls, remind you that almost 80% of our consumption is happening outside the US and sell through rates vary by region so the U.S sell through rate for example is very different than the sell through rate for YouTube inventory in India. But you have consumption that's currently we control, we drive a lot of that, YouTube algorithm obviously impacts that. the second is the sell through that's macro economically driven and the third is the ARPU, and so we think that there are tailwinds across all three of those over time and I can break it out specifically but we think all three of them have tailwinds. And also, Michelle mentioned the integrated element of how we think about sponsorship and advertising, how we package our self that YouTube inventory has changed over time which is then is driven up the ARPU that and it's in our ability to sell the value has improved overtime as we have gotten smarter about it. 
Benjamin Swinburne: Is there a way you guys can increase how much of the inventory you sell versus YouTube and does that create an opportunity for you to better monetize or is it a relatively static situation?
George Barrios: if we can add value but to our customers we are going to want to sell as much as best as possible ourselves. 
Michelle Wilson: And we have access to that inventory, so we can sell as much as we can package and put in the market. So as to George’s point that’s been a strategy of us adding value to those integrated patches is our ability to target our YouTube audience who are familiar with how Google reserve itself you are buying an audience across the demographic where you buy through WWE you are able to specifically target WWE's YouTube audience so there is value in that with our sponsors and that is how we are packaging that in.
Benjamin Swinburne: And then just one follow-up, I don’t know if you can comment. But to what extent WWE will be involved in the U.S.A. upfront coming up here, the NBC cable Upfront in the next couple of weeks?
Michelle Wilson: The NBC Upfront is on May 14, and WWE will absolutely be a part of that Upfront representation. I don't want to steam their thunders, who will be on the stage but surprises to say that Stephanie McMahon, our Chief Brand Officer will be leading the charge on the stage for WWE and we will be as I mentioned, our channel will be an important part of their upfront presentation. 
George Barrios: Then you should get a ticket I think you'll enjoy the show. 
Operator: And will go next to Laura Martin with Needham. 
Laura Martin: So, I wanted to talk about data because I know you guys are hiring data analysts and one of the key positives of having a direct to consumer players is you get a lot more data. So I'm interested in two assets of data specifically one is as you think about the last 90 days, can you please regale us with impressive steps you're taking on what you're doing with data lately and then overlay the GDPR, which is about to go into effect in Europe and how that gates your ability and/or the testimony of [Indiscernible] here whether you think that we are going to get tighter data lock down here in America that would negatively affect your competitive advantage of being able to use data more than a lot of your competitors?
George Barrios: On GDPR obviously goes into effect here in the next couple of weeks, we've been prepping for that for the last year or so and as you know what it really does is gives each consumer more control which I think is great. ultimately, we're using data. it sounds a little corny but it's how we use it to put more smiles on people's faces. The more we understand about what they like the more we can give them more of what they like, so that really is what we do with the data and our hope is that our fans enjoy it and they are willing to share and continue to share our fans in the EU. So that’s on GDPR. on regaling you, over the last 90 days I would say it's funny this kind of journey that we are on and in a lot of ways when you look at the functional level in the organization the discussions that we have about how do we do better content, how can we engage our fans more deeply everything is now [attended] with some level of data and five or six years ago you had less of that because we didn’t have the data available so I don’t think I can regale you, all I can tell you is that every day through all the different physical locations of WWE what we understand about what our consumers want about us or what they don’t love is in every discussion so. next time I will prep and be able to regale you. 
Laura Martin: And then maybe Michelle one for you. I mean I feel like every time you guys get on this call the brands get more and more impressive and so what I'm wondering Michelle is when you think about the multiplatform reach, do you have a sense that you are getting more and more brands because you can be multiplatform you have a lot of data about who is viewing your content and sort of people are jumping on board, the WWE and accelerating rates of people abandoning the cable universe maybe is that benefiting you. 
Michelle Wilson: I don’t know about the second part of your hypothesis, I think the first part is accurate in that the brands that are coming to us and working with us have clearly seen the benefit of the REITS that we have, not only in the U.S but on a global basis as George mentioned a lot of our consumption is happening outside of U.S, so I think it's really driven by the scale and reach that we deliver, beyond that I think our ability to deliver in a turnkey fashion, and you know, we are one of those unique properties, that we create our content, we own our content, our talent, our IP are available to work with the brands that we sign on. So that’s a unique market proposition that a lot of other entertainment properties or sports properties can’t deliver the way WWE is. So, its scale is going across platform and our ability to create unique organic content that is relevant to our audience that represents our brands. So, to me that’s our unique selling proposition and I think the market has now recognized that and those are the types of deals we’re doing in the brand. Again, you’ve seen it also from an advertising prospective, we have been public about the fact that [indiscernible] has now a roster of over 200 advertisers on Raw and Smack Down and those are Blue Chip companies again recognizing the value of ads running in the WWE programming so all of that has really come to fruition for us. 
Laura Martin: And great last one for me is mobile games, there is 70 million number installs and 90 million number install, so it feels like, mobile games is an area like e-sports, it feels like this is an area that really talks to your consumer. Can you talk about sort of your longer-term plans regarding gains and how it seems like it's really relevant to your core audience and how you think economics could play out specifically coming from like these video games franchises both mobile and context. 
George Barrios: Just on the first one, just to get the numbers right, the 70 million is the overall installs for all the games, and it wasn’t 90, it with 9 million for one of our latest game which is WWE Mayhem, but like we said in the prepared remarks we’re all fighting for time and engagement across all these platforms, mobile gaming is another platform obviously it's incredibly popular and a lot of time is spent there. So, year after year you’re going to see us grow that portfolio of games. 
Operator: We will go next to Brandon Ross with BTIG. 
Brandon Ross : Just on the Network, the acceleration of Network subs really didn’t come in the quarter, it came at WrestleMania, but you haven't broken that out between domestic and international, I am just curious if that reacceleration was broad-based, or if it was driven by more international trends or domestic, I’m trying to figure out what markets are really accelerating your growth there. And then I have a follow up. 
George Barrios: The mix between domestic and international wasn’t fundamentally different than it's been in the past and as you know Brandon, we simplify the KPI across the business, including the Network [indiscernible] just because we think otherwise there is too much information and I think you missed the overall trend but generally on the WrestleMania cohort, looking fundamentally to similar mix. 
Brandon Ross : Great and then obviously you laid out the timeline for the US renewal for Raw and SmackDown between now and September, can you talk about the factors in determining where in that range that will fall and I guess somewhat related it seems like a lot of your current partners in big markets and potentially new partners are involved in some kind of M&A. To what extent is that effecting your negotiations and the timing of when you may announce deals?
George Barrios: So, to the first part put that in the same bucket as Curry's question we're not really talking about characterized what discussions we are having with whom. regarding the consolidation or potential consolidation in the media industry I think for the most part certainly the U.S. deal and my guess is prior to UK and India are going to get -- we will figure those things prior to any of these events getting regulatory approval or some of the more recent ones but we don’t think it's impacted our discussion as a whole impact WWE materially one way or the other. 
Operator: Will go next to Daniel Moore with CJS Securities.
Daniel Moore: I do want to focus on the Network average paid subs is up about 5% in the quarter, direct Network related revenue up about 3%. So just wondering in terms of the direction is that just function of timing, any other factors there and one quick follow-up. 
George Barrios: Do you mean why we see the year-over-year growth increasing from Q1 to Q2 that's the question Dan?
Daniel Moore: Really just I'm must I'm looking at the numbers incorrectly. A little bit more growth in the average paid subs than in the Network or direct Network related revenue in Q1, so I guess average revenue per sub down a little bit?
George Barrios: And remember in that is revenue line there is three things going on. By far the largest one is the pure direct to consumer subscription business it's the 9.99 a month, but we also in some markets license the Network content so there the ARPU isn’t 9.99 it's a function of how many subscribers and what's the license fee is and we also have our transactional pay per view revenue so that's why you don’t see a direct correlation between the sub growth and the revenue growth because those are the two kind of impacted somewhat. 
Daniel Moore: And then lastly a really nice uplift, re acceleration in just total subs around WrestleMania. Any thoughts if we think about sort of net churn or decay between now and the rest of the year relative to last year given worse at a higher starting point. I don’t know if there is any guide you can't give but I thought I'd ask.
George Barrios: I mean we've said before we tend not to get too caught up in one quarter's number. we think this is a great business it's a large business for us now. it's very profitable as high operating leverage and strategically it becomes a hub of our [TTC] strategy, so that's kind of the way we think about other Network. In the last call we said that we thought the subscriber growth would be higher towards the back half, certainly the performance we had at WrestleMania kind of helps support that so that's all the forward guide we've given so far on the subs.
Daniel Moore: Okay obviously a lot of momentum congrats and good luck going into the big negotiations
Operator: We will take our next question from Evan Wingren with Keybanc Capital Markets.
Evan Wingren : On TV ratings we can see that your linear consumptions grew here in the States in 1Q which is obviously drastically different than the universe. But can you give us a sense about the similar metrics in the UK and India and recent history and to sort of what the overall viewership of your content looks like there relative to those respective markets to?
George Barrios: We’re not public with the ratings data other than the U.S, what we have said is in India, we are one of the largest consumed sports in the country, it gets placed into the sports category and by far the largest Western content compared to the NBA or NFL or U.S, [indiscernible] we are right behind the IPL, Kabaddi, Cricket and Kabaddi, so that’s what we have been public with.
Evan Wingren : Okay and then just one follow-up on commentary from WrestleMania, can you just give us the high-level view on how you think about balancing content availability and price in that equation, I guess particularly in the context of using a lower cost tier, is an incremental subscriber acquisition channel and to improve your overall data capabilities while I guess not cannibalizing your higher and premium consumer. 
George Barrios: And I think, you should think about the about the tiering opportunity. Both the lower tier and higher tier that its part content and its part features, benefits and experience that we can bring to bear it’s not just the content, specifically on the content we have a long history of tiering content, used to be pay-per-view and TV today its tiering across multiple platforms direct to consumer, social and digital traditional Pay-Tv bundle, the tiering, for the Network specially is just another subset of that, is deciding which content fits where. I think what Michelle said, we’re lucky is we has this incredibly passionate fan base, we have the capability to create a lot of new content in a lot of different genres. So, it gives us a pretty big toolbox on how to address your questions [indiscernible] what that is but I keep in mind that it's not just confident that tiering its features and benefits and also access to different parts of WWE tickets and products and so on that all makeup the composition of the tiers. And like you said we think there is an opportunity. I mean today we have a free-tier if you will, if you go to wwe.com on your browser or within the app there is free content we provide today to our fans, we think we can really take that to another level and then that does create a nice opportunity for feeding the subscription service, that’s how we’re thinking about it. 
Operator: [Operator Instructions]. We will go next to Mike Hickey with Benchmark Company. 
Mike Hickey : Just one quick one, sorry if I missed this, [indiscernible] but your digital video view is up 56% and [indiscernible] what’s driving that and why don’t we see that I guess a more obvious bridge from that sort of activity to drive and I guess your overall subscriber growth in the Network. 
George Barrios: So, there is a couple of elements, it got addressed in one of the questions earlier, what drives the engagement which is those views and the time spent is we create more and more content, we get smarter and smarter about what content to create so we think that has a big part in driving that. Second element is everyday there is more people who have connectivity through the internet around the world so that helps and then the third part it's a little bit out of our control, become the algorithms on these third party platforms and which types of content they are favoring and as you know that can change so that can impact it positively, sometimes it's actually a little bit more of a headwind but those are the factors [indiscernible] becomes a little bit more difficult and then I missed the second part Mike of your question.
Mike Hickey : Yes, I guess second part was why don’t we see that activity and driving growth in your Networks subscriber base?
George Barrios: We actually do. We have an attributing model internally where were measuring the efficacy as well as any [indiscernible] we have as well as the use of our own assets and social and digital platforms are a big part of driving that, so they are working now. Michelle says we could be better at it and I agree so we are kind of continue to focusing on that because we do think there is even more opportunity given the scale but even today when we look at the growth of Network a very large part of it is driven by those platforms. 
Mike Hickey : Fair enough. I guess [indiscernible] looking at 57% growth and then obviously a subscriber growth is fairly [indiscernible] compared to that so I just that's a bridge [indiscernible]. On your revised historicals can you give us your core content right fees for 2014?
George Barrios: In total we haven't published those Mike, we went back three years we did publish the top seven deals that you can kind of get sense there on a relative scale of you can see the top seven deals were public in '14, '15 and '16 so you kind of be the relative relationship we thought going back three years was enough. 
Mike Hickey : I guess if we're looking at the potential step up [indiscernible] coming up here that would sort of be historical we want to look at or no?
George Barrios: Like I just said the top seven deals which as you can see from the numbers it's a [Indiscernible] of the total you can kind of get an idea because we have them public on the actually '13, '14 and '15 for those deals we can kind of see what happens in the last renewed cycle for those larger deals. 
Mike Hickey : Just curious your sort of perspective I guess post Saudi Arabia here maybe your two takeaways and I guess how you sort of balance on one hand sort of leaving the charge on when it is right and when it's [indiscernible] in doing a business in the region that is maybe not so much maybe you charged in terms of when it's right.
Michelle Wilson: So, I think everyone is familiar with the fact that we obviously have been very local about our female performers and obviously rebranding them to WWE superstars. we feel really good about our continued commitment to that front. as you know and we've know there are many countries around the world where we perform where again we are respectful on the cultures that are there but we certainly hope to be heart of the change moving forward. I think some of you know in advance of our event in Saudi Arabia we had the first ever women's match in the Middle-East in Abu Dhabi and having heard the stories there is not there personally but when you hear our two female performers Alexa Bliss and Sasha Banks talk about that experience and looking into the audience and seeing, little boys and little girls and the crowd actually chanting this is hope, for us, we believe that over the long-term that we will be part of the change that will happen in some of these places but again we have to be respectful of the cultures where we perform and we plan to do that, so again overtime it’s a 10 year partnership and as George mentioned we have a significant foundation in Middle East, not just men but women as well. And we’re proud and happy with how the event went and we will continue to treat those cultures respectfully while hoping to be part of some of the change that will be taking place. 
Operator: And we will go next to Jason Bazinet with Citi. 
Jason Bazinet : I just wondered if I could ask a question on international. Do you guys mind refreshing us on sort of where you see the biggest monetization gaps by country and how you sort of think about that?
George Barrios: I don’t know if I'd say monetization gaps. I think just because of the scale of the country GDP and per capita GDP growth both historical and expected and our ability to entertain those fans, India's we find as a pretty unique opportunity, obviously it means that we got to keep some smiles on people faces there and that’s hard than it sounds for the future, but I think there's just some macroeconomic element that makes that country particularly interesting. Other than that Michelle mentioned the Middle East had some similarity but when you at it in total pretty good GDP growth, lot of engagement, pretty large when you look at it in a totality, so those are interesting as well and Latin America obviously is a part of the world where the content really resonates as well. I would say the biggest challenge we have in that finding opportunities, its prioritizing them, so it’s a good problem to have, but we probably spend a lot more time thinking about that Jason because there are a lot of opportunities. Do we have any more questions? 
Operator: There are no other questions at this time. 
Michael Weitz: Thank you everyone. We appreciate you listening to the call today. If you have any questions, please don’t hesitate to contact us. Thank you. 